Operator: Good afternoon. My name is Mike, and I'll be your conference operator today. At this time, I would like to welcome everyone to Las Vegas Sands Second Quarter 2016 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I'll now turn the call over to Daniel Briggs. You may begin your conference.
Daniel J. Briggs - Las Vegas Sands Corp.: Thank you, operator. Joining me on the call today are Sheldon Adelson, our Chairman and Chief Executive Officer; Rob Goldstein, our President and Chief Operating Officer; and Patrick Dumont, our Executive Vice President and Chief Financial Officer. Before I turn the call over to Mr. Adelson, please let me remind you that today's conference call will contain forward-looking statements that we are making under the Safe Harbor provisions of Federal Securities Laws. The company's actual results could differ materially from the anticipated results in those forward-looking statements. In addition, we may discuss non-GAAP measures, a definition and a reconciliation of each of these measures to the most comparable GAAP financial measures have included in the press release and also at the end of our earnings deck, which is available for your use during the call on our Investor Relations website. Finally, for those who would like to participate in the question-and-answer session, we ask that you please limit yourself to one question and one follow-up question, so we might allow everyone with interest to participate. Please note that this presentation is being recorded. With that, let me please introduce our Chairman, Sheldon Adelson.
Sheldon Gary Adelson - Las Vegas Sands Corp.: Thank you, Dan. Good afternoon, everyone, and thank you for joining us today. I'm pleased we've continued to execute on our strategic objectives during the quarter. And despite the diminished but continuing challenges in the Macao market, we again delivered a solid set of financial results with company-wide hold-normalized EBITDA reaching $954 million. This resilience and consistency in cash generation reflects both the strength of our business model and the geographic diversity of our cash flows, which in turn underpins our balance sheet strength. Accordingly, we can and will continue to return excess cash to shareholders while maintaining our ability to invest in new development opportunities. In Macao, our hold-normalized EBITDA margin expanded in the second quarter by 160 basis points versus the prior-year quarter, and by 120 basis points compared to the first quarter of 2016, again reflecting our continued success in cost management. At the same time, despite the significant year-on-year increase in competition on Cotai, our second quarter mass gaming volumes at both Venetian and Sands Cotai Central were more or less consistent with prior year. It is encouraging that in June, our Macao properties experienced a year-on-year increase in both mass gaming volumes and revenue, marking the first month of year-on-year growth in mass gaming since September of 2014. I was asked when I announced in January why I thought the market was about to stabilize or that it was stabilized, this is a validation of my expectations at that time. June is the first month that we experienced year-on-year gains. So I think stabilization appears to be here. I mentioned in January of last year that I believe we were seeing the first signs of stabilization in the Macao mass market. Our mass revenue growth in June despite the arrival of new competition on Cotai represents an important data point supporting the ongoing stabilization of the Macao mass market. At Marina Bay Sands, quarter two adjusted property EBITDA was similar to prior year. MBS has continued to dominate the competitive landscape with its share of hold-normalized EBITDA increasing to 74% in quarter one 2016 versus 65% in quarter one 2015. Likewise, our share of EBITDA in Macao also continues to increase. On a trailing 12 month basis through March 31, 2016, our share of EBITDA in the six operating markets increased to 37%, up from 34% one year earlier. That's more than double our fair share. Because of our industry-leading investments in MICE-based Integrated Resorts in both Macao and Singapore, which places up in the pole position when it comes to emerging market opportunities, we are unique in the absolute scale of our cash flow as well as our dominant share of the industry's cash flow. Scale, diversity and critical mass allow us to outperform our competitors. This unique ability to generate consistent and industry-leading cash flow in turn underpins our balance sheet strength. That balance sheet strength is two times, two times net debt to EBITDA at the end of the second quarter, allows us to stay fully committed to our development plans while continuing to return excess capital to our shareholders. Again, this is unique in our industry. Our retail mall portfolio in Asia is another unique differentiator. For 2015, the operating profit of our malls in Macao and Singapore reached $0.5 billion. I'm pleased to highlight that despite the downturn in luxury retail in Greater China, our Macao mall revenue still grew by 7% during the first half of 2016. I'm extremely excited about the upcoming opening of Parisian Macao. We're well on track and I'm pleased to announce today that we plan to open The Parisian on September 13, about seven weeks from today. I have not a shadow of doubt that The Parisian will replicate the success of The Venetian as another themed iconic and must-see Integrated Resort destination to Macao's visitors. The Venetian Macao remains the iconic must-see Integrated Resort destination in Macao, welcoming over 30 million visitors annually. That's almost as many visit as 32 million as the market as a whole. Despite all the headwinds and challenges in the Macao market, The Venetian Macao produced $244 million of EBITDA for the quarter, essentially flat against the prior year. I believe that this is another indicator of a stabilizing mass market in Macao. The positioning of The Parisian Macao caters well to both the current Macao market conditions and the long term growth trends in Chinese outbound tourism. The Parisian will be a themed premium destination where the aspirational appeal of its public spaces, attractions and amenities, this combined with affordable hotel accommodation, providing a complimentary offering to the all-suite hotel at The Venetian Macao. Our preopening marketing efforts are progressing nicely, and videos and promotional pieces featuring The Parisian on social media have achieved well over 143 million reach over the last month. Our existing portfolio has clearly enabled us to hold our own amidst new competition. And I'm extremely confident that with the opening of The Parisian, we will see growth in Macao. With respect to expenses and profit margin from our Macao operations, Rob and Patrick can elaborate on this later. Suffice it to say that we're on track to meet or exceed the targets we set out to you previously. To recap, we achieved annualized savings of an excess of $250 million as we exited 2015 when we projected that we would achieve an additional $60 million of cost savings during 2016. As of the end of June, we are well on track to meet or exceed those projections. In addition, we will achieve approximately $140 million of cost avoidance on an annualized basis with the opening of The Parisian. Now, let me give you some additional highlights of our results in Macao for the quarter. For quarter two, hold-normalized EBITDA in Macao was nearly $500 million, down only 2% against the first quarter despite the overall Macao gross gaming revenue, GGR, declining sequentially by 8%. Hold-normalized EBITDA margin in our Macao operations improved to 33.3%, an increase of 160 basis points against prior year, primarily reflecting cost efficiencies. I'm pleased that since quarter one of 2015, we've been able to maintain high levels of market share despite new competition while controlling costs, increasing labor productivity, and continuing to invest in destination marketing in China and in development progress to have local employees. Encouragingly, despite the significant increase in gaming and hotel capacity compared with the prior year's quarter at two flagship properties on Cotai Venetian, Venetian and Sands Cotai Central both held their own against the new competition in the mass gaming segment. Non-Rolling drop at Venetian was almost flat against the prior year while SCC's Non-Rolling drop increased by 2% (11:28) against the prior year, again validating our belief that the Macao mass market is stabilizing. While competition in the hotel cash sales market has increased, particularly in weekdays and non-peak periods, we continue to benefit from the scale of our hotel room inventory. In a market where peak periods, the weekends and holidays matter more than ever before, where mass market customers generate the lion's share of future revenue and profit growth. We believe our capacity advantage will be further amplified when The Parisian opens. In the first half of 2016, Chinese public holidays represented 10% of the calendar days but more than 20% of our EBITDA. With the completion of The Parisian, we will have almost 13,000 hotel rooms and four interconnected resorts. Over 840 stores across four shopping malls, 2 million square feet of meeting and exhibition space, and four performance and event venues, including our Venetian Cotai Arena, which can be utilized either for our MICE business or for major entertainment events. This is the only MICE Space Integrated Resort complex of this scale in the world. Business and leisure visitors to Macao will be able to enjoy all of this and more under one roof, at one destination, without having to go outside to connect with six different properties. I believe this will help to increase the tourist average length of stay in Macao. It is encouraging that the first five months of 2016, based on data provided by the Statistics and Census Service of Macao, the number of visitors in Macao who stayed overnight in hotel increased by 12% compared with the prior year, even though overall visitor levels decreased by 1% during the same period. I believe The Parisian Macao with its premium and iconic destination appeal, coupled with affordable and plentiful accommodations, will help drive sustainable growth in overnight visitors to the Cotai Strip. We remain fully committed to playing the pioneering role in Macao's transformation into Asia's leading business and leisure tourism destination. Our track record in being transformative pioneers in MICE, retail and entertainment speak for itself. In summary, we regard it as a privilege to contribute to Macao's success in realizing its objectives of diversifying its economy, supporting the growth of local businesses, providing meaningful career development opportunities for its citizens, including through our Sands Academy and reaching its full potential as Asia's leading business and leisure tourism destination. We opened The Sands Academy at the Adelson Advanced Education Centre nearly 10 years ago in conjunction with the 2007 opening of The Venetian Macao. We're extremely proud that tens of thousands of local Macao employees have received training, development, and continuing education through our Sands Academy educational and development programs. We have steadfast confidence in both our and Macao's future success. Now, moving on to Marina Bay Sands in Singapore. We delivered a solid quarter in Marina Bay Sands with EBITDA of $357 million. Hold-normalized EBITDA was $320 million and was impacted by lower table game volumes. The hotel continued its strong performance while our retail malls continued to outperform the Singapore market. Now, on to my favorite subject, the return of capital to shareholders, yay dividends. Early in the year, the Las Vegas Sands board of directors approved a 10.8% increase in our recurring dividend program for the 2016 calendar year to $2.88 for the year or $0.72 per quarter. We remain committed to maintaining our recurring dividend programs at both Las Vegas Sands and Sands China. And we remain committed to increasing those recurring dividends in the future as our cash flows grow particularly with the opening of The Parisian. At the same time, we will remain opportunistic in returning excess capital via our share repurchase program. While we chose not to repurchase any stock in the quarter ended June 30, we look forward to continue to utilize the stock buyback program to return excess capital to shareholders and to enhance long-term shareholder returns in the future. Our industry-leading cash flows, geographic diversity, and balance sheet strength enable us to continue these recurring dividend and stock repurchase programs while retaining ample financial flexibility to invest for future growth and pursue new development opportunities. This is the conclusion of my prepared remarks. Thank you for joining us on the call today. We're now prepared to take questions.
Operator: Your first question is from Joe Greff from JPMorgan.
Joseph R. Greff - JPMorgan Securities LLC: Good afternoon, everybody. Sheldon, probably what intrigue most investors on this call are your comments on the mass performance in June. Can you talk about how your mass segment performed relative to the market mass segment performance? Was there a big difference between the base and the premium mass in June? And then while we recognize July is far from over, can you talk about whether that June mass segment performance has continued thus far into July?
Robert Glen Goldstein - Las Vegas Sands Corp.: Hey, Joe, I'm going to take that, it's Rob. (18:34) business in June definitely ticked up. We're seeing strong – I think we're the lucky people to have all this capacity at a time when capacity appears to be very important in weekends and holidays. That has always been a summer trend for us. And we're seeing it – we saw it in June. So, we saw a strong year-on-year growth for the first time in a while and very encouraged by it. I don't want to go into the numbers for July. I'll stay away from that. But I think, June is the beginning of the summer season. As you know, our model is predicated on size and critical mass. And that demonstrated very well for us the results in June, because I think the weekends are very busy, and I believe that will continue to summer, although we're not going to comment about July at this time. But, yes, we did see a nice uptick in June for the first time in a while.
Joseph R. Greff - JPMorgan Securities LLC: Okay. Great. Then my follow-up question is with regard to The Parisian opening on the 13th. I guess, how much of a staggered opening is it? How much do you open with initially in terms of room capacity, gaming capacity, other non-gaming capacity?
Robert Glen Goldstein - Las Vegas Sands Corp.: Yeah. We're taking a different approach, Joe, opening it, totally open everything. We've tried it in a few different ways but this time we have all the rooms. We have, I think last time I talked to the retail folks for us in Macao, about 90% of the retail keys we opened, the doors we opened, the gaming floor is fully operational. I think we're going to have a pretty much 100% opening at this point unless something is off the rails with approvals. But we feel pretty confident that the building will look fully represented. And if you haven't seen it in person, it's pretty astounding. The casino floor is terrific and the Eiffel Tower's already on, so we're in pretty good shape September 13.
Joseph R. Greff - JPMorgan Securities LLC: Great. Thanks so much guys.
Operator: The next question is from Shaun Kelley from Bank of America.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Hey, good afternoon, everyone. Sheldon, I think in the prepared remarks, you mentioned something about cost avoidance for The Parisian. I was wondering if you could possibly give us a little bit more granularity about just the overall magnitude of cost you're expecting to shift and maybe how much shifted in the second quarter as a part of the preopening expense line.
Patrick Dumont - Las Vegas Sands Corp.: Hey, Shaun, it's Patrick. How are you?
Shaun Clisby Kelley - Bank of America Merrill Lynch: Hi, Patrick. Thanks.
Patrick Dumont - Las Vegas Sands Corp.: Just a little more color, we're looking about $35 million a quarter in run rate cost avoidance that will shift over to The Parisian when it opens. There is about, call it, $14 million or $15 million that we experienced in this quarter. So that's the run rate. That's how we got to the $140 million a year that we referenced in our prior earnings call.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Great. Thanks. And could you just give us maybe a little bit of granularity on sort of the total employees that you think are going to sort of backstop that number?
Patrick Dumont - Las Vegas Sands Corp.: You mean total magnitude of employees?
Shaun Clisby Kelley - Bank of America Merrill Lynch: Yeah, that will shift and then what you're sort of targeting for head count to run The Parisian at opening?
Patrick Dumont - Las Vegas Sands Corp.: It's about 3,500 in context. We don't have the – I'm not going to get to exact specifics because that'll move around a little bit, but think of it about 3,500 employees would be the shiftable number.
Shaun Clisby Kelley - Bank of America Merrill Lynch: Great. Thank you very much.
Patrick Dumont - Las Vegas Sands Corp.: Thank you.
Operator: The next question is from Jon Oh from CLSA.
Jon T. Oh - CLSA Americas LLC: Thank you. I like to just kind of dig into this June growth remark, that was quite fascinating. As we think about – and I think, Sheldon, you made this comment earlier that the customer staying at hotel year-to-date is up 12%. How do we think about spend per customer? What kind of trends are you seeing so far especially in June? Are you seeing any meaningful uptick in spend?
Robert Glen Goldstein - Las Vegas Sands Corp.: Jon, I'm not sure I'd break it up – it's Rob by the way – I wouldn't break it up by spend per customer because we're seeing stronger occupancy, stronger overall visitation. I'm not prepared to break it up by customer spend. But clearly it's something that happened in June for us in the market, our occupancy picked up, our gaming floors are busy, especially weekends. And again, we think the critical mass this year we have the capacity in the gaming side, the retail side, the lodging side to have the customers. This is, let's be honest, Macao is morphing into the world's greatest mass-market. Our critical mass approach in terms of lots of capacity in all the dimensions we talked about are there. So we're going to anticipate when customers are there. And I think it started show through in June; hopefully, we'll see it rest of the summer. It's been a trend of ours in the summers, we do better. June was the beginning of that trend. So I'm not sure spend per customer as much (23:00) we're getting more occupancy. We're getting better customers in the hotel, obviously. And we're seeing some positive uptick in the gaming, especially in the mass segments and premium mass.
Jon T. Oh - CLSA Americas LLC: Okay. And if I can follow-up with your comments on market share, you guys have held your market share pretty well so far. What are your expectations for what your market share would look like when Wynn opens in the next one month? And also expectations for what The Parisian would do in mid-September after you open? That's it from me. Thanks.
Sheldon Gary Adelson - Las Vegas Sands Corp.: We can't say what Wynn is going to do. The clippings that I read say that it's a 20-minute walk from The Venetian to the Wynn. We're hoping that he will do very well. But we don't know and neither does he how many tables we're going to be getting. But we have the greater capacity because we have more tables from other properties that we can move over. I don't – I can't answer your question specifically about why we feel stabilization, but we see no reason whatsoever to believe that it's going to reverse again. So June hit the bottom, or was the pivotal turnaround point, it is – we have no reason to believe that it won't continue. The Eiffel Tower on the – what do you call it, the supplementary information.
Jon T. Oh - CLSA Americas LLC: Yeah. In the slide deck.
Sheldon Gary Adelson - Las Vegas Sands Corp.: The what?
Jon T. Oh - CLSA Americas LLC: In the slide deck, the supplemental slide deck.
Sheldon Gary Adelson - Las Vegas Sands Corp.: In the slide deck. Supplemental slide deck showed an orange with the bottom, I think, it was red, of the Eiffel Tower, the bottom.
Jon T. Oh - CLSA Americas LLC: Page 13 in the slide deck.
Sheldon Gary Adelson - Las Vegas Sands Corp.: Page 13. I'm a little – it should have been – oh, sorry, red on – two-thirds of red and sort of orange at the bottom. But we copied the original Eiffel Tower from Paris with the sparkling lights and I think we did something that I'm not sure if they do there. We have a rainbow color that starts off with one color starting to move up, replaced at the bottom by another one, and continued to replace all of the colors of the rainbow. It is strikingly beautiful and I have no reason to believe that it isn't going to be watched by every person who comes to Macao. The Cotai Strip is my idea. And when we finally put in the pedestrian overpass, it's my vision, we will have – albeit fewer properties than what I've originally anticipated – but we will have the greatest under one roof, never having to go outside to go from one place to the other for all the MICE Space, the shopping, the restaurants, the hotel rooms, the casinos. Nowhere in the world will there be 13,000 hotel rooms interconnected. So this is going to be like The Venetian Macao, a must-see destination. The Chinese people like theme properties, particularly geographically-themed properties that is the main reason for The Venetian being a must-see property that it is and will continue to be, and the main reason why The Parisian will also be another must-see property. Hope I answered your questions.
Jon T. Oh - CLSA Americas LLC: Thank you.
Operator: The next question is from Thomas Allen from Morgan Stanley.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hi. Can you give us some more color on the softness that you saw in the Singapore gaming volumes both on the mass and the VIP side? And then any color on just the outlook for that property would be helpful? Thanks.
Robert Glen Goldstein - Las Vegas Sands Corp.: Thomas, its Rob. Clearly, the VIP volume I think reflects global phenomenon of slowdown at the $5 million plus customer. Rolling volume was very soft relative to the past at $6 million, $7.40 million. We held well which was encouraging. But volumes are off and it's off primarily in that $5 million plus high-end rolling customer. I think that's reflected in Macao as well as Las Vegas, and maybe that's a global slowdown. I'm not sure how to explain that but we've always had super concentrated and we couldn't see a bounce, but I would think that's going to be a tough segment for the foreseeable future. On the mass table side, clearly, we missed our usual $4.7 million, $4.8 million. That's the first time in two years we missed getting to $4.7 million, $4.8 million. The question is, is that a short-term blip, the 90-day miss or is that a trend, we don't know at this point. That's the more interesting one to me. I think the Rolling business, it speaks for itself, and that's explainable throughout the world. This one is only explainable to our property. We've kind of done very, very well in that segment. We'll stay hyper-focused in that segment. We continue to have sales people and product against that segment. That is our focus. I want to believe we'll return in July and August, September back to $4.7 million, $4.8 million. That's we want to be. Our goal long term is $5 million five a day. It is a blip, it's a miss this quarter, but I don't believe it's a trend. I hope it's not. And we'll have to wait and see what the future holds. Now, the property overall, I think, the other confusing part to me is our slot business was up. It was quite actually improved Q1-on-Q1 and year-on-year. So, that's encouraging. Our retail business remains flat or actually up a bit. Our hotel business is very strong, leading the market, maybe on our occupancy and RevPAR. So, the other indicators in Singapore are pretty positive. The miss is purely in the table game side, and primarily in the mass table side. So, no way to give you an accurate prediction of whether that bounces back to $4.7 million, $4.7 million, $4.9 million, I'm sure opening so. But other indicators are all positive. Again, rooms, retail, slot machines, ETGs all positive as you identify the misses in the table game side.
Thomas G. Allen - Morgan Stanley & Co. LLC: Thanks, Rob. That was helpful. And then just my follow-up question on The Parisian, I heard your comments earlier that you're going to open everything up on September 13. But given the current operating environment and the new supply that's coming in close to the same time as you guys are opening, how are you thinking about the speed at which you expect to ramp EBITDA at this property versus your prior property openings? Thanks.
Robert Glen Goldstein - Las Vegas Sands Corp.: My feeling is it's very positive for us. I think the Wynn property is going to be a must-see and I think Parisian is a must-see. I think cumulatively the market's very fortunate. Cotai will be the beneficiary. If anything, the Peninsula will suffer because you're going to have to see the – that property that Steve Wynn's building, I'm sure, is a must-see and I know The Parisian is a must-see. I've seen it. And I think those properties combined will create something – I know that some people are concerned about so much product at once. It might actually be very much a catalyst for the market and for people in China and from Hong Kong and throughout the region to come to Macao. So it does two things. It transfers the business up to Cotai, which we have the majority of our assets on Cotai. That's encouraging. And frankly, it also creates a must-see Macao event to have two properties, $7-billion-plus of capital at one time. It's pretty amazing actually. It takes you back to the days in Las Vegas in the late 1990s when Venetian opened, Bellagio opened, Mandalay Bay opened on top of each other and no one even blinked because the market was strong. I understand your concern. And obviously, some people are concerned it's too much at one time. You might argue that and you might argue that it's a catalyst for more growth in Cotai in particular and for more visitations to Macao. Maybe it's the magic elixir that takes this market to a different place. No matter what happens short term, again, I believe we're anchored in a very fine place. We're in the mass part of this business. Sheldon's vision is always critical mass. 13,000 sleeping rooms, all that gaming capacity, lodging capacity, retail capacity on Cotai which is still the world's greatest gaming market. It's pretty positive, pretty powerful. I think, long term, we do very well in Macao. We're very bullish in long term. You can argue about the relative merits of all that capacity at one time. I'm going to argue positively and hope for the best. But I know long term, we're in a very, very nice position in Cotai. We're happy to be there and happy to open The Parisian.
Thomas G. Allen - Morgan Stanley & Co. LLC: Thanks, Rob.
Operator: The next question is from Carlo Santarelli from Deutsche Bank.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Thanks, everyone. Good afternoon. Rob, maybe could you talk a little bit about the mix on the hotel side in Macao these days and kind of the strategy of cash versus comp room here going forward as the new competition comes on and obviously, as you guys open Parisian?
Robert Glen Goldstein - Las Vegas Sands Corp.: Sure. I think we're a little different than most people, Carlo. As you know, we've been doing this for a long time. We've been focused on selling cash rooms for quite some time because no one else in the market had to. Most people are junket and high roller driven and Rolling customer driven. So the focus of most of our competitors has been non-cash. We've been forced, because of the amount of rooms that we put in the market, to be cash-driven and we remain in that place. We got a very, very experienced sales team. We're well represented throughout the region. And I think that bodes very well for our future cash sales. As you know, there's so much new capacity and frankly there's been some people learning how to sell hotel rooms in Macao because it's not been necessary in the past. And that's caused some rate pressure. But we remain convinced that our mix will be heavily skewed towards cash customers. And we'll take a focus like we do in Las Vegas, which is the lot (33:17), the casino comp side. We want to reward better customers. But I think our mix will remain heavily skewed to cash. We saw a very strong second quarter and the MICE business is ramping up. And I think, again, competitors will start to take more of a definite second look at MICE because they now have a lot of product to sell. Let's be honest. This is going to be a fight like Las Vegas was years ago. Midweek is going to be a challenge; weekends will fill. Midweek and holidays will be strong for all of us. It's the weekends and the midweek where the challenge is. But with our sales team and years of experience selling into that China, Hong Kong, regional Pacific Rim; I feel pretty confident we'll do fine. I know there's rate pressure today. I think that will subside once the capacity gets absorbed. We have a lot of confidence in the quality of competition and the quality of product. Keep in mind, it's a lot of hotel rooms for any one time to absorb so quickly. But look at the size of the market. And with 1 billion people in China and Hong Kong and Korea and Japan, et cetera; I think it gets absorbed and I think it grows. And I think we're going to lead the way in terms of rate and occupancy and product diversification. And again, I think you can't dismiss the heavy retail concentration and diversity of product we have in our buildings. We have retail pricing up and down from very reasonable stuff to the very fancy goods. We have hotel pricing which is very diverse. We have gaming price which is very diverse. And again, that is the strength of the LVS and that's the strength of Sheldon's critical mass vision that I think bodes well for the future for us. So we're very confident we'll sell rooms and do well in that market. I do think also The Parisian, the theming and the look of that is right for the market just like The Venetian was right for the market. It was only eight years ago, nine years ago, we opened The Venetian and people thought you couldn't fill 2,700 rooms and it was impossible. People thought it'd be a white elephant. And obviously, it worked out pretty well. I think the same thing will happen in time for all of us in Cotai. I feel pretty good about it.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thank you for that. And then if I could just ask a follow-up on the mass side. It looks like the base mass and the premium mass performed similarly from a year-over-year perspective in the quarter. If we thought about premium mass today and the theoretical required to reach, quote, that desired status; has that changed tremendously year-over-year in terms of what's being classified there or are you strictly kind of using the same table minimum thresholds et cetera?
Daniel J. Briggs - Las Vegas Sands Corp.: Carlo, we're not using the table minimum threshold at all. We're giving you that split on page 11 in the deck based on the geographic area of the tables on the floor. So we have a VIP area and a mass area. And we haven't broken out or changed whatsoever the methodology with which we're presenting that specific information.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Right, great. Thank you, Dan.
Operator: The next question is from Felicia Hendrix from Barclays. Felicia Hendrix, your line is open.
Felicia Hendrix - Barclays Capital, Inc.: Sorry, had you muted. Thank you for taking my question and good afternoon. Rob, my question is a bit of a segue from your last comments and it's on competition. So if The Parisian and Wynn are as successful as you all believe they're going to be, do you envision your competitors getting more aggressive in trying to maintain share? I think there's a premise out there now that everyone's going to stay rational. But we see what's happening with the room rates and you mentioned that. So I'm not sure why I understand there's a belief that the competition isn't going to heat up.
Robert Glen Goldstein - Las Vegas Sands Corp.: Well, I think it has heated up. Already in terms of room rate, you're seeing competitive pressures in room rates today and that's probably remaining intact until there's more cash demand in the market. But the great thing about a mass market, as you well know, it's not as predatory in terms of pricing. It's not like do you in the high roller business where a gambler is sought after by 16 different people. It's a little harder to identify and to see the mass market. The most pressure you're going to see, I think, is in your room pricing. And I believe you're going to see with Wynn and Parisian, two new products that might bring more people to the market. I'm hoping that they can elevate the game there because in the end we all win if more people show up. Will there be pricing pressure? I assume there will be with all the new product in the market. But will it be absorbed and eventually prices trade back up? I think it will. You see that ebb and flow in Las Vegas. You see that in other markets where we compete. And right now in Las Vegas, I think the market keeps moving upward and moving together. I think that will happen in Macao. Is there short-term risk? Sure there is. But longer term, I think people will respect the products they have there, the quality of product. We're big believers in diversity of pricing, diversity of product. And frankly, we think our retail enables to us do things that other people won't be able to do. Our retail pricing and diversity, our lodging pricing and diversity, our gaming pricing and diversity gives us a very unique advantage. And plus, it's all in Cotai and as Sheldon referenced, it's all connected. So competitors may have to get there and figure it out. I think we'll be in a pretty good place. And I think that that market long term, perhaps the Peninsula might be the difficult portion because of pressure. I think Cotai will be pretty successful in the short term and long term.
Felicia Hendrix - Barclays Capital, Inc.: That's helpful, thanks. And Sheldon, just for a minute moving outside of Macao, I was wondering if you could update us on your expansion plans in Singapore. What are the latest specifics with your plans there and where are you in the process? And then can you also update on your plans for the arena in Vegas, maybe cost, timing, anything you can share there?
Sheldon Gary Adelson - Las Vegas Sands Corp.: We don't have an okay from the full government of Singapore at this time. We're hoping after the summer when vacations are completed, that we'll approach the government again and see if we can get a final answer there, which we don't have at this time yet. As far as Vegas is concerned, I'm going to refer that to Rob who's been negotiating with MSG, Madison Square Garden.
Robert Glen Goldstein - Las Vegas Sands Corp.: Well, firstly, we're delighted with the deal. We think it's great that we have a rather nominal capital contribution and our partner's providing the bulk of that. And we also are delighted we have, I think, the strongest booking people in the business on our side of this trade. So we're very excited about the prospect. We'd like to think we get on the ground sometime in early 2017 with an opening sometime late 2018 or early 2019. We're excited about the closeness, the proximity to our building. But again, we're thinking it's probably a 18-month or 24-month build once they actually break ground. And I saw them yesterday actually and they're hoping to break ground first quarter of 2017, so late 2018, early 2019. We think it's very impactful for this end of the Strip. And we think we're the big beneficiaries of – we got first dibs on certain amount of tickets and we love the deal in terms of the quality of our partners in this thing. MSG and the Azoff Group. We're very excited about it. So a big impact for us down the road in that we think it elevates room rates and it elevates this end of the Strip. Our neighborhood gets much better with this arena.
Felicia Hendrix - Barclays Capital, Inc.: Great. Thank you so much.
Robert Glen Goldstein - Las Vegas Sands Corp.: Thank you.
Operator: The last question comes from David Katz from Telsey Group.
David Katz - Telsey Advisory Group LLC: Hi, afternoon. Thanks for taking my question. I just wanted to ask and we may have discussed around this a bit. But on your slide 11 which I think is very telling, have you told us whether it was an increase in the volume of patrons or an increase in the spend per patron more so one or the other that's leading to this uptick that you have in both segments?
Daniel J. Briggs - Las Vegas Sands Corp.: On slide 11, David, we're presenting the quarter-over-quarter – pardon me, second quarter 2016 versus second quarter of 2015 and they're both down about 8% in our mass business. We specifically called out the June month to help people understand that there was growth in June for the first time in 21 months across our portfolio. So we didn't specifically talk about whether it was more customers or just – Rob actually addressed this pretty well earlier. I'll hand it over to him.
Robert Glen Goldstein - Las Vegas Sands Corp.: I think what we're trying to reflect here is, again, June growth both in mass and premium mass is there. And I can't break it out for you whether it's spend – I just don't know the answer, that was spend per customer or more visitations. I would tend to believe, if I were to make a guess, it'd be more visitations because again the summer season ramps up aggressively there. And I hope we will see it in July and August and September as well. But I think what we're seeing, to Dan's point, is a return to some strength for the first time in quite a while, which is very encouraging in June. And we're sure hoping it continues throughout the summer. And that's our story in a nutshell. It's an encouraging sign after a couple of years of discouraging signs.
David Katz - Telsey Advisory Group LLC: All right. You said it. And if I can ask just quickly about Las Vegas' hold percentage, which looks like it was low both years and markedly so; is there any particular reason other than luck as to why that would be? Is there a change in the tenor of the mix of games or something like that?
Robert Glen Goldstein - Las Vegas Sands Corp.: No, I wish it was like that, but unfortunately it's just luck. The customers won and we lost. And when that happens, the hold percentage – it's just a very hard thing to explain to people that are not in this industry. There has been a lot of bad luck for us in Las Vegas. We saw this in Singapore. There was a belief out there we couldn't win in Singapore because we had a couple of bad years. But it bounced back and our long term hope is right where it should be. In the end, it all flattens out. We just had a pathetic run of bad luck at the high-ended tables. And keep in mind, Las Vegas doesn't have the volume. What makes Las Vegas frustrating is if you bring in a couple of dozen customers (43:29), you don't have the volume which offsets the volatility. The reason Macao and other places tend to be more stable is there's just huge amounts of volume. In Las Vegas, you're letting people gamble here, disproportionately high to the other mix on the floor. When it runs bad, it's pretty difficult. When it runs good, it's really wonderful. But this is simply a highly concentrated bunch of gamblers who played lucky, nothing more, nothing less. The mix has nothing to do with it. They're all playing baccarat at very, very high levels and hence volatility increases with high levels of gambling. And it's the business we're in in Las Vegas and the good news is that it's becoming more lodging focused. Do you see our numbers in Las Vegas? Our ADRs is just terrific and our occupancies and RevPARs. If it wasn't for that lousy table, well, we would have had a hell of a quarter in Las Vegas. So we'll bounce back probably in the rest of the year and hold a whole bunch higher. So I apologize, but there's no magic to it. And it's not a mix issue at all.
David Katz - Telsey Advisory Group LLC: Appreciate it. Thanks very much. Nice quarter.
Robert Glen Goldstein - Las Vegas Sands Corp.: Thank you. Appreciate that.
Sheldon Gary Adelson - Las Vegas Sands Corp.: Are there any other questions?
Operator: There are no further questions. I'll now turn the call back over to the presenters.
Sheldon Gary Adelson - Las Vegas Sands Corp.: I want to thank everybody for calling. And we feel we had a pretty good quarter and we are very happy that there was one month that hit the bottom. And I think we're going to be – as I said earlier, we have no reason to believe that's not going to continue. And we are very, very excited about The Parisian. I was just to (45:14) it a few weeks ago. And I have to tell you it is undoubtedly one of the most beautifully decorated public spaces I have ever seen in any hotel in the world and I go to a lot of hotels. And this is really, really magnificent both from the outside with the Eiffel Tower and the rainbow colors moving up to the top – it's just going to be an incredibly high-demand hotel and a must-see. So thank you all for calling and we look forward to giving you another good quarter, even better quarter coming up. Thank you.
Operator: This concludes today's conference call. You may now disconnect.